Operator: Hello, everyone, and thank you for joining us for Marti Technologies First Half 2025 Conference Call. Before we begin, I'd like to mention that today's earnings release and slide presentation are available on Marti's Investor Relations website at ir.marti.tech, where you will also find links to our SEC filings, along with other information about Marti. Joining me on today's call are Oguz Alper Oktem, Marti's Founder and CEO; and Cankut Durgun, Marti's Co-Founder, President and COO. Before we begin, I'd like to remind everyone that statements made on this call as well as in today's earnings release and accompanying slide presentation contain forward-looking statements regarding our financial outlook, business plans, objectives, goals and strategies and other future events and developments, including statements about the market and revenue potential of our products and services. These forward-looking statements are certain to risks and uncertainties that may cause actual results to differ materially from those projected. These risks and uncertainties include those described in our filings with the SEC, today's earnings release and the accompanying slide presentation and are based on our current expectations and beliefs as of today, September 22, 2025. In addition, our discussion today will include references to certain supplemental non-GAAP financial measures, which should be considered in addition to and not as a substitute for our GAAP financial results. We use these non-GAAP measures in evaluating and managing Marti's business and believe they provide useful information to our investors. Reconciliations of the non-GAAP measures to the corresponding GAAP measures, where appropriate, can be found in today's earnings release and slide presentation as well as our filings with the SEC. With that, I will now turn the call over to Alper.
Oguz Oktem: Thank you all for joining us today for Marti's first half 2025 Earnings Call. Marti is Türkiye’'s leading mobility super app, bringing together 6 transportation services on a single platform. These include our ride-hailing marketplace for cars, motorcycles and taxis as well as our owned and operated rental service for e-bikes, e-scooters and e-mopeds. Collectively, our ride-hailing operations and 2-wheeled electric vehicle rentals provide users with a seamless, flexible and a sustainable way to move around Türkiye. Three years ago, we made a key strategic business decision to evolve our business model to align with Türkiye's growing mobility demands, transitioning our primary focus from 2-wheeled electric vehicles to ride-hailing. We began monetizing our ride-hailing service in October 2024. And in January 2025, we introduced a dynamic pricing model to further enhance efficiency and rider and driver satisfaction. We believe that today's results demonstrate that this strategic move is working. We have strong momentum and are consistently exceeding operational targets for both unique ride-hailing riders and registered ride-hailing drivers. At the same time, in our 2-wheeled electric vehicle service, we have continued to implement critical profitability-enhancing measures and have successfully deployed efficiency initiatives, resulting in a notable reduction in both operating losses and capital requirements. Importantly, these efficiency initiatives have helped us channel field team attention and resources to our higher-margin ride-hailing service, translating into improved financial performance. We believe 2025 will be a pivotal year for scale and financial performance with strong revenue growth and a significant improvement in adjusted EBITDA as a move swiftly to capture the growing opportunity for ride-hailing in Türkiye. We are on track to almost double our revenue from $18.7 million in 2024 to $34 million in 2025 and continue to drive improvement in adjusted EBITDA. Lastly, the monetization of our ride-hailing and our first mover advantage are significantly enhancing our cash generation power and capital efficiency. We believe this bolstered financial strength positions us well to scale operations further and capture Türkiye’'’s long-term mobility market opportunity with increased resilience and flexibility. We are the #1 urban mobility app on both iOS and Android app stores in Türkiye’. We are the only operator offering car-hailing and motorcycle-hailing services at scale in the country and the largest electric vehicle operator in Türkiye’. We have served over 128.6 million rides to 6.4 million unique riders since our launch. In the first half of this year, we consistently outperformed our ride-hailing targets, hitting 2.28 million unique ride-hailing riders and 327,000 registered ride-hailing drivers. Although we are the youngest player in Türkiye’'s urban mobility market, we are the clear market leader. It's also important to note that the top 5 urban mobility apps in the country, 4 are operated by local players. This is in line with global benchmarks, which have demonstrated that local companies are often successful in mobility markets because of their operational advantages, deep local market knowledge, regulatory agility, strong rider and driver relationships, tailored service offerings and trust and brand perception in the countries they respectively operate in. Last year, in 2024, we solidified our ride-hailing business in 4 of Türkiye’'s largest cities, Istanbul, Ankara, Izmir, and Antalya. This strong foundation set the stage for our previously announced 2025-2026 investment plan. In 2025, we began executing on this plan and expanded into 6 additional metropolitan areas. Bursa, Konya, Adana, Kocaeli, Mersin and Kayseri, with operations now spanning in 10 cities, representing approximately half of Türkiye’'s population and nearly 2/3 of its GDP. We have significantly expanded our ride-hailing service reach. To accelerate adoption in these new markets, we are prioritizing growth and do not foresee monetizing services in these cities in 2025. This strategic expansion is a key step in our long-term vision. However, we're not just expanding our footprint, but we're building the infrastructure and the capabilities to make Marti the go-to ride-hailing platform across the country. In 2025, we've prioritized building the right organizational structure to support our rapid ride-hailing growth. We have structured our organization to ensure we can manage operations at scale. And as a part of our transformation, we introduced several new departments that strengthen our technological, commercial and operational capabilities. These new departments include AI engineering to optimize matching and pricing, growth in CRM functions to drive engagement and loyalty, performance and brand marketing to strengthen our market position and business and competitive intelligence to sharpen our decision-making. To give you a sense of the growth in the scale of our organization, at the beginning of this year, we had approximately 120 team members dedicated to ride-hailing. By the end of the first half of 2025, our ride-hailing team has increased to approximately 180 members, and we expect to reach around 260 team members by the end of this year. To further accelerate growth of our ride-hailing service, we also launched a major redesign of our app in 2025. The key change is placing ride-hailing more prominently at the center of our user experience, making it faster and more intuitive for riders to book a trip. Beyond the design of our app, we also streamlined our onboarding, improved our search and navigation and optimized the booking flow to reduce friction. We are encouraged by the impact of these decisions. Since launch, our conversion rate has increased by 2%, moving more visitors, meaning more visitors are successfully completing their ride requests. In addition, since launch, our average App Store rating is 4.9 out of 5, reflecting positive user sentiment. We're also seeing stronger user engagement. Weekly and monthly active users have increased by 16% and 12%, respectively. And importantly, user comments highlight that new design feels simpler, cleaner and more reliable. Overall, we believe the redesign not only strengthens our brand perception, but also directly drives higher adoption and usage of ride-hailing, which is central to our long-term growth strategy. As a result of our new city launches, the investments we're making in the growing of our organization and our app redesign, our number of unique ride-hailing riders have grown 107% year-over-year in the first half of this year from 1.1 million to 2.3 million. Our number of registered ride-hailing drivers grew by 92% year-over-year from 171,000 to 327,000. We intend to continue investing in the cost-effective growth of our ride-hailing service in 2025 and beyond and aim to reach 3.3 million unique riders and 450,000 registered drivers by the end of 2025. We achieved accelerated growth and substantial scale in riders and registered drivers with limited capital investment, demonstrating our commitment to capital-efficient growth of our ride-hailing business. Moving forward, we intend to make targeted investments to leverage multiple growth opportunities, including increasing organic growth in existing cities, improving our rider and driver experiences, initiating loyalty incentives, launching new cities to serve a greater share of Türkiye's urban population, refining our dynamic pricing engine and increasing our take rate. We believe these initiatives will support our path toward capturing an estimated $3 billion annual revenue opportunity in the ride-hailing business. Here is how we calculate the size of the revenue opportunity. With every global benchmark, we see that the introduction of ride-hailing service into a market uncovers unmet demand significantly eclipsing the demand for taxi service prior to the introduction of ride-hailing. This is because ride-hailing offers a significantly better, more accessible customer experience than taxis across all dimensions, including vehicle availability, price and driver and vehicle quality. For example, in New York City, ride-hailing increased the size of the taxi market by 1.6x. There were approximately 800,000 daily rides in Istanbul, our largest city when we launched our ride-hailing operations. We believe that -- what happened in New York is now happening in Istanbul, and we expect that there will be 1.3 million daily ride-hailing rides in Istanbul at steady state. Istanbul's taxi market accounts for about 45% of Türkiye’'s taxi market. So assuming similar market dynamics in Türkiye’'s other cities, we project that there will eventually be about 2.9 million daily ride-hailing rides in Türkiye’. This is about 1 billion rides a year or approximately $10 billion of potential gross annual booking value. At an assumed take rate of 30%, in line with global benchmarks, this equates to $3 billion of total annual revenue potential for Türkiye’'s ride-hailing market maturity. As we continue to prioritize ride-hailing as our strategic focus, this also shaped how we manage our 2-wheeled electric vehicle operations. In addition to channeling more field team attention and resources toward our higher-margin ride-hailing business, we also implemented operational efficiency projects in our 2-wheeled electric vehicle business to increase profitability. Our strategic focus on our higher-margin ride-hailing business and operational efficiency projects decreased our total cost of revenues by 25% compared to the same period last year in addition to our gross profit margin improving by 49%. Throughout the first half of 2025, the behavior of our riders supported our decision to offer multiple transportation services to our single app. We believe and the data continues to show that this multi-modal offering is aligned with rider performance. 70% of our e-bikes, 84% of our e-moped and 40% of our car-hailing and 83% of our motorcycle hailing riders use these services after previously being introduced to Marti by using another Marti service. Our existing services serve as an excellent cost-free rider acquisition channel for our new services. Furthermore, 70% of our e-bike, 80% of our e-moped, 26% of our car-hailing and 83% of our motorcycle-hailing riders subsequently used other Marti services after their first e-bike, e-moped, car hailing or motorcycle hailing rides, respectively. These data points all show an overwhelming rider preference for multi-modal transportation services. Serving multi-modal riders also creates economic benefits for Marti. Rides per rider is 3x higher and revenue per rider is 2.7x higher for our multi-modal riders than for our single service riders. These statistics reinforce our decision to invest in the balanced growth of our multi-modal services. I'd now like to turn it over to my partner, Cankut, to present our financials.
Cankut Durgun: Thank you Oguz. Looking at our KPIs. We increased our total rides from 13.7 million in the first half of 2024 to 19.2 million in the first half of 2025. We also increased our unique riders. We used our services at least once during the half year from 1.4 million to 1.7 million. Both increases were primarily driven by an increase in ride-hailing rides and riders. Rides per unique rider increased to 11.4% in the first half of the year as a result of increased availability and rider awareness of our service offering across cities, which drove higher utilization. Our number of unique ride-hailing riders since our launch increased from 1.1 million to 2.3 million in the first half, while the number of registered drivers increased from 171,000 to 327,000 during the same time period. As a result of the gradual decommissioning of our existing 2-wheeled electric vehicle fleet, our number of average daily 2-wheeled electric vehicles deployed decreased from 34,600 in the first half of 2024 to 24,000 in the first half of 2025. We generated $14.3 million of revenue in the first half of the year, this is a 70% increase compared to the $8.4 million of revenue that we generated during the same period in 2024. This was primarily due to the monetization of our ride-hailing service. We reduced our cost of revenues by 25% from $9.9 million in the first half of '24 to $7.4 million in the first half of '25 as a result of increased field team attention and resources to our higher-margin ride-hailing business, and a continued focus on profitability enhancing measures in our 2-wheeled electric vehicle service. These projects included optimizing the numbers of our field staff, repair and maintenance staff as well as our logistics vehicle counts increasing the number of on field repairs as a share of total repairs and increasing our usage of refurbished electronic and spare parts. Our general and administrative expenses increased by 35% from $9.1 million in the first half of '24 to $12.2 million in the first half of 2025, driven by increased share-based compensation expense of $4.7 million. Excluding this non-cash share-based compensation expense, G&A expenses increased to $7.5 million or an increase of about 13% compared to the $6.6 million in G&A, excluding share-based compensation expense in the first half of '24. This increase is primarily attributable to the investments that we're making in our ride-hailing team. As a result, our adjusted EBITDA improved by $5.4 million from negative $11.3 million in the first half of 2024 to negative $6 million in the first half of 2025. We believe the accelerating performance of our ride-hailing business represents a pivotal milestone for our company's growth and profitability by the end of 2025 we reiterate our plans to nearly double our annual revenue from $18.7 million to $34 million and to improve our adjusted EBITDA by $2.3 million. This 2025 guidance incorporates the 2025-2026 investment plan we shared earlier, which includes the launch of ride-hailing in 6 new cities and the expansion of our ride-hailing team to support as scale operations. We thank you for participating today, and we'll be glad to answer any questions that you might have.
Operator: [Operator Instructions] Today's first question is coming from Theodore O'Neill of Litchfield Hills Research.
Theodore O'Neill: First question on the 2-wheeled electric vehicles deployed. Can you talk about, is there some level you're trying to get to? I'm assuming you're not trying to get it to 0?
Cankut Durgun: That's right. Thanks for the question, Theo. We do believe that 2-wheeled electric vehicle operations are an integral part of our service offering because of the multi-modal statistics that Oguz shared earlier. We foresee operating all 3 of those modalities and having all 3 available in our app because they're not only an important source of -- sort of customer acquisition, we've also in some of the CRM campaigns that we launched recently are seeing that they're also a great source of driving traffic to our ride-hailing service. And the priority that we place to growing our ride-hailing service does mean that they're going to be an integral part of our service moving forward. The specific number we're going to be reevaluating in the summer -- in advance of the summer of 2026 at that time based on the decommissioning rates as well as the size of the fleet that we believe is necessary to, one, meet customer needs; and two, continue to direct as much additional traffic as possible to our ride-hailing business. We're going to be making the 2-wheeled electric vehicle fleet decision at that time.
Theodore O'Neill: Okay. And could you comment overall on the driver supply and getting more drivers into the system as well as -- you talked about AI engineering, and I was wondering if you can talk about how the AI aspect is helping your business.
Cankut Durgun: So on the driver supply side, we continue to face no constraints in onboarding additional drivers. So for example, if you look at other global markets, many of the companies operating in those markets as they have scaled they have needed to strike partnerships, for example with banks or car rental firms in order to increase their driver supply simply because in their respective markets, there weren't sufficient numbers of drivers with cars to continue to serve the platform. We're very, very far from reaching those constraints. We continue to grow drivers I believe we shared the figures, but I believe roughly 2x year-over-year. We're seeing -- on the contrary, we're actually seeing an increase rather than a decrease in the pace of new driver sign-ups. And I attribute that to the fact that as our marketplace grows larger because of the network effects intrinsic in the marketplace, what happens is drivers actually have the opportunity to earn more income when there are more riders on the service. And therefore, somewhat counterintuitively rather than base effects kicking in and then sort of driver growth declining, we have an increase in the pace of both driver acquisition as well as the engagement of those drivers as our rider base increases. With respect to your second question regarding the AI engineering team, so this is probably the most important team that we are building right now. And that's the reason why we highlighted it first in terms of the new teams that we're building as part of our new org structure. And the reason it's critical is because many decisions like pricing on the rider side, but also like the calculation of the take rates on the driver side as well as much of the rider and driver experience funnels are now being done by AI tools. And we're therefore fortunate to have access to the most talented individuals in Türkiye, but we're also working with advisers as well as new team members abroad, many of whom have deep experience working in these fields at other ride-hailing firms globally to ensure that we're able to deploy the same capabilities in Türkiye and offer the combination of the right customer and driver experiences, the right pricing, the same level of service that riders and drivers receive abroad will be available to them in Türkiye as a result of these investments.
Operator: The next question is coming from Jack Halpert of Cantor Fitzgerald.
John Halpert: Two, please. So First, on monetization. You've given a lot of color on where you see the long-term ride-hailing monetization going. Can you just elaborate on where current take rates are versus the global benchmarks and maybe where you were kind of us back in April and then sort of how you think these are evolving over the next 12 to 18 months. And then second real quick just on demand in new markets. Can you just talk a little bit about what you're seeing in terms of rider frequency and retention? I know you just kind of commented on the supply side, but curious on the demand side as well.
Cankut Durgun: I'll take the question on the take rates. So our take rates continue to be in the high single digits as of the end of the first half of this year. That's similar to where they were in the prior earnings call, where -- I don't know if it was you, Jack, but there was a similar question. Therefore, we continue to have significant upside potential in increasing the take rates to positively impact our monetization levels moving forward. I'll let my partner, Alper take the second question.
Oguz Oktem: In Türkiye’'s, if you consider it to be a part of Europe, it's the largest country in Europe with 85 million, probably 90 million people. In Türkiye’, there are 24 cities that have a population of 1 million or higher. The largest city in Europe is Istanbul. It is our largest market. But outside of it, we still have 23 very large cities with populations over 1 million. So where we -- wherever we go, we see very strong demand. Obviously, most of, if not all of these markets have never experienced any type of tech-based mobility solutions. No ride-hailing company ever entered these markets, these secondary cities in Türkiye or no taxi-hailing business ever scale there. So whenever we go, we see incredible demand and very high user excitement. Since we are a household name in Türkiye because of our social media presence and the popularity of our 2-wheeled electric vehicle segment and are just branding and marketing endeavors over the past few years. We expect a much larger percentage of our trips to be conducted or taken place in the secondary markets that we're launching into.
Cankut Durgun: Let me just add a few numbers to that. So in our most recent press release, Jack, which we -- where we shared our progress toward meeting some of the quarterly targets that we suffer our ride-hailing business. We did share there, for example, that the share of our riders based outside of Istanbul, they grew from 13% to 24% over the last year, and that our share of registered drivers based out of Istanbul grew from 18% to 26%. And this is at a moment in time where the 6 new cities that we launched were relatively nascent. And as a result, these figures are primarily coming from our 4 city operations, Istanbul, Ankara, Antalya and Izmir. And even in looking at those 4 cities, you can see that close to 1/4 of the riders and drivers are coming from outside of Istanbul. As we add more cities, that number is going to, of course, further grow the steady state there is something that's implicit in the market sizing calculations we perform. And in the market sizing calculations, we perform, you can see that we assume that Istanbul is going to be 45% of the total in Türkiye. Personally, I believe that, that's sort of an upper limit, likely going to be less than that. But that's where we are now versus where we believe it's going to head, those are probably good numbers to keep in mind.
Operator: Our next question is coming from Rohit Kulkarni of ROTH Capital Partners.
Rohit Kulkarni: Nice set of results. I have a few questions. First is just talk through your kind of growth versus profitability plans over the next 6 to 18 months. I know you've started to launch into new cities that may not monetize while existing cities are probably monetizing at a higher rate. Perhaps talk through that where what is the second half implied guidance kind of say to us about revenues coming from existing cities versus investments into new cities? How are you thinking about that over the next 6 months and heading into '26.
Oguz Oktem: I'll take the first question. I'll let my partner take the second. In terms of the [indiscernible] growth and profitability, we are in a very large position because we are the only player in the market, and we can play with take rates whenever we want, right? And we see the -- inelastic demand when it comes to ride-hailing. It's because in a city or in a country that is the price of any type of tech-enabled mobility solution, what we are doing is sort of like impossible to replace. The taxi situation in Istanbul or the rest of the country they obviously bad. So realistically, we are the only real solution to help people move around the city. As a result, we see inelastic demand. So what we're trying to do right now is just go as much as possible while we're the only player in the market. That's simply because the lower we charge in terms of take rates, the faster we grow. You could today potentially say, hey, we're going to jack up our take rates and increase our profitability. And since we're the only player in the market. And we face inelastic demand, we would increase our profitability immediately, I could just call someone and have them increased prices within 20 minutes and the entire outlook of the company financially would be different. But what we are doing right now is trying to optimize. And we're doing this day carefully with a lot of calculations and a lot of thought. What we're doing is we are taking as less as we possibly can to be in a financially strong position while we can promote growth as much as we can. So this is sort of like the optimal point of a very sophisticated equation that we're trying to solve as we move along.
Cankut Durgun: And then on your question about the revenue mix and the profitability of other cities I think I touched on sort of the revenue mix in the answer to Jack's question. A good way to think about the revenue mix is as a share of the registered driver and rider base in the cities where we operate. And the figures that I shared earlier in that sort of 25% figure was at a moment in time where we had yet to launch the 6 new cities and therefore Istanbul versus Ankara, Antalya, Izmir that's a good way to think about the revenue mix of those cities. With regards to the profitability, what's important to note is that our -- the 4 cities that we originally launched those cities, if you look at their contribution margin, defined as the revenue that we earn from drivers in those cities, minus the variable cost to serve those cities minus the direct marketing costs. So those costs, they include performance marketing primarily designed to attract and retain individual riders and drivers. That excludes sort of brand building, offline marketing campaigns and so forth. But if you subtract the direct marketing costs, which are assigned to those cities, we're already profitable in each of those 4 existing cities. Therefore, now that we have that sort of under our belt with high single-digit take rate environment, our goal is to, one, now that we've shown that we have the ability to do that with sort of low single-digit take rates is -- our first goal is to continue to invest in growing as fast as possible in those cities as well as to launch new cities and beef up our ride-hailing team.
Rohit Kulkarni: Fantastic. I guess -- and a couple of other somewhat unrelated topics to both of you. In terms of regulatory backdrop, any updates that you can share as far as where do you feel ride-sharing and regulatory environment is in Türkiye.
Cankut Durgun: We believe that we're the only team that has the ability to introduce new transportation services that have never been deployed in Türkiye. Before, we also believe that we're the only team that has the ability to regulate these and we've shown this in other modalities, and we are working on doing the same in the ride-hailing modality.
Rohit Kulkarni: And finally, recently, you announced that crypto treasury-related press release. Maybe talk through how you think about that as a strategy and given kind of the volatility in local currency, how this is something that investors should think about?
Cankut Durgun: It's a very good question. It was somewhat surprising to be on the receiving end of that. But our strategy is as follows, right? We do know of several companies that announced crypto strategies, not as a means of diversification of their non-operating cash, but almost as an investment strategy almost as a -- sort of the launch of a new business line for the company. That's not the case for us. So our crypto strategy was designed by looking at the cash flow that we keep as a buffer at Marti that we do not use for our operations, it's sort of like rainy day cash flow, and that rainy day cash, that cash used to be stored in the form of U.S. dollars. And we looked at the performance, of course, of the U.S. dollar relative to crypto assets, which we believe have proven their ability to serve as a store of value. So not just any crypto asset, but crypto assets, which have proven their ability to serve as a store of value. And we said, let's take an initial position by diversifying the non-operating cash of the company across USD and Bitcoin initially, which we believe to date is the only cryptocurrency that has proven its ability to serve as a store of value. And even in doing so, the majority of our, let's call it, rainy day cash remains and held in the form of USD, but a certain fraction currently remains held as Bitcoin.
Operator: Our next question is coming from Fawne Jiang of Benchmark Company.
Yanfang Jiang: Two on my side. First, I just want to follow up on the unit economics. You didn't -- you did give the colors in terms of where you are on your existing city. I guess my question here is what's your current user incentive, if there are any driver incentive? How should we think about the dynamics there? And secondly, for your new cities, I understand it's still early-stage investment cycle. But do you foresee the unit economics in the 6 new cities may or may not be different from the first batch of your, I think, existing 4 cities. Any color there would be helpful.
Cankut Durgun: Yes. Thanks for your questions, Fawne. So to respond to the first one regarding the rider and driver incentives, they remain very, very limited. So the reason why this question is -- the right question is because you're probably thinking of markets like the U.S. where when I was living there in the early 2010s, I remember competitors were giving $500 sign-up bonuses for drivers that were completing like a few trips, right? And that's not the case in Türkiye. If you look at our driver acquisition costs and you look at our rider acquisition costs, they are such that our driver acquisition costs, for example, we pay back our driver acquisition costs within a month of that driver driving for our service. On the rider side, are other than sort of cross promoting our service with our 2-wheeled electric vehicle fleet and other than one-off sort of rider acquisition campaigns, we have very, very negligible rider acquisition activities, and we leverage primarily the existing brand that Marti has the existing very large user base that we had from our 2-wheeled electric vehicle service. That's the reason why on both of those metrics, we've been able to grow very, very cost efficiently. With regards to how we see the unit economics playing out in our new city launches thinking through the parameters that are going to be a bit different. I don't believe, again, because the driver and rider acquisition costs are fairly low. I don't believe that those are going to be different. But we do see that the average fares for our new cities, in some cases, are lower than those in our core markets like Istanbul. That's only natural. That's a function of sort of purchasing power. But if you think of the cost to serve some of our variable costs are also similarly lower because of the local teams that we have in those cities. And as a result, we'll be able to -- sort of operate with similar margins, we believe, in the new cities as we have been operating with in the 4 existing cities where we first launched.
Yanfang Jiang: Since we have compared Türkiye market with the global market, it seems like in the other regions, global, I think ride-hailing providers are embracing autonomous driving, robotaxi. I understand you guys very early stage of market. Just your thoughts on the, I think, a driving down the road and what's your positioning or thought -- strategic thought going forward?
Cankut Durgun: We believe that autonomous driving is certainly going to constitute the majority of our ride-hailing trips. Perhaps within sort of a decade in markets like the U.S. and markets that are not only sort of advanced in terms of technology adoption, but also markets where the economics make sense, right? So many people in the U.S., for example, look at the autonomous ride-hailing market and they say, well, the solution -- the problem that needs to be solved is regulatory. Once there's a sort of regulatory acceptance then autonomous ride-hailing is going to be a thing. In Türkiye, while that is necessary, and there's an additional complicating factor, which is sort of the economics, right? The revenue per mile or kilometer that we have for our ride-hailing service in Türkiye is significantly lower than that in the U.S. And therefore, the sort of substitute transportation option in the form of sort of ride-hailing that autonomous vehicles need to undercut in terms of price, it's going to take a lot longer for autonomous vehicles to undercut ride-hailing prices in Türkiye than in markets like the U.S. However, as we have been in every other transportation -- tech-enabled transportation service category that we've introduced to Türkiye so far. We are also in active discussions to pioneer that introduction of autonomous vehicles in Türkiye as well, and we're in discussions with multiple partners for this.
Operator: The next question is coming from Sid Havaldar of Crescent Enterprises.
Siddharth Havaldar: Congrats to get on a great half and the growth in revenue. Just really 2 questions from my side. One, which are related, I mean, just given the existence of cash position, I love to understand how you're thinking about maybe raising more cash or how that balances out with the take rate for the ride-hailing operations, especially as you expand? Would it ideally be through issuing more convertible notes or increasing the take rates to achieve cash flow positive status?
Cankut Durgun: So we raised an additional convertible note financial of $23 million in April and that fully funds the growth of the business with even our existing take rate over the net 12 months and therefore we're not looking to raise any additional capital for the foreseeable future. We also expect sort of developments in the new cities that we've launched, whether in terms of scale, in terms of monetization, existing cities and the incremental scale that they bring over time will also positively impact the cash position. So probably 6 to 12 months from now, we'll be having the discussions about what the right trade-off between additional fundraising and take rate will be. We'll have those discussions 6 to 12 months from now.
Operator: This brings us to the end of the question-and-answer session. I would like to turn the floor back over to management for closing comments.
Cankut Durgun: Thank you, everybody, for chiming in. Thanks for your questions. We look forward to seeing you next time.
Oguz Oktem: Thanks, guys. Talk to you next time. Goodbye.
Operator: Ladies and gentlemen, this concludes today's event. You may disconnect your lines or log off the webcast at this time, and enjoy the rest of your day.